Operator: Good day, and thank you for standing by. Welcome to Universal Corporation Fiscal Year 2021 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Ms. Candace Formacek, Vice President and Treasurer. Thank you. Please go ahead.
Candace Formacek: Thank you, Meika, and thank you all for joining us this evening. George Freeman, our Chairman, President and CEO; Airton Hentschke, our Chief Operating Officer; and Johan Kroner, our Chief Financial Officer, are here with me today and will join me in answering questions after these brief remarks. This call is being webcast live and will be available on our website and on telephone taped replay. It will remain on our website through August 26, 2021. Other than the replay, we have not authorized and disclaim responsibility for any recording, replay or distribution of any transcription of this call. This call is copyrighted and may not be used without our permission. Before I begin to discuss our results, I caution you that we will be making forward-looking statements that are based on our current knowledge and some assumptions about the future and are representative as of today only. Actual results could differ materially from projected or estimated results, and we assume no obligation to update any forward-looking statements. This is of particular note during the current ongoing COVID-19 pandemic, when the length and severity of the crisis and resultant economic and business impacts are so difficult to predict. For information on some of the factors that can affect our estimates I urge you to read our 10-K for the year ended March 31, 2020, as well as our Form 10-K for the year ended March 31, 2021 which we expect to file with the SEC later this week. Such risks and uncertainties include, but are not limited to, the ongoing COVID-19 pandemic, customer-mandated timing of shipments, weather conditions, political and economic environment, government regulation and taxation, changes in exchange rates and interest rates, industry consolidation and evolution and changes in market structure or sources. Finally, some of the information I have for you today is based on unaudited allocations and is subject to reclassification. In an effort to provide useful information to investors, our comments today may include non-GAAP financial measures. For details on these measures, including reconciliations to the most comparable GAAP measures, please refer to our current earnings press release. We are pleased to report that our net income and diluted earnings per share, and our non-GAAP adjusted operating income for fiscal year 2021, are all up over 20% compared to fiscal year 2020. Strong leaf tobacco shipments in the second half of fiscal year 2021, the addition of our plant-based ingredients acquisitions, and favorable foreign currency comparisons all contributed to this improvement in our results. We are especially proud that we were able to deliver these results in the midst of the COVID-19 pandemic, and would like to thank our employees, growers, customers, and other partners for their support, adaptability, and hard work that made this a successful year. Leaf tobacco shipments, which started slowly earlier in the fiscal year, accelerated in the second half of the year. We ended the year with leaf tobacco volumes that were just slightly below those in fiscal year 2020, in part due to some tobacco shipments that were delayed and will ship in fiscal year 2022. Despite global challenges including increased safety protocols, work-from-home mandates, and travel restrictions that necessitated adjustment to how we conduct our leaf tobacco business, we successfully delivered the leaf tobacco desired by our customers. We also delivered on our capital allocation strategy objective to build and enhance our plant-based ingredients platform through the acquisition of Silva International in the third quarter of fiscal year 2021. We are excited about the prospects for our new ingredients platform and continue to progress on our integration process. In the fourth quarter of fiscal year 2021, our Ingredients Operations segment performed well against its objectives in both the human and pet food categories. In the quarter and year ended March 31, 2021, we benefited from positive net foreign currency comparisons, mostly non-cash currency remeasurement, of $21 million and $26 million, respectively, compared to the same periods in fiscal year 2020. Certain currencies weakened significantly in the fourth quarter of fiscal year 2020, largely due to uncertain market conditions related to the burgeoning COVID-19 pandemic. We ended our fiscal year 2021 with a strong balance sheet and uncommitted leaf tobacco inventory levels just over our target range, at 22%. In addition to our investments in growth opportunities, we are also pleased to have announced our 51st annual dividend increase today, continuing our commitment to delivering shareholder value. Turning now to the details. Net income for the fiscal year ended March 31, 2021, was $87.4 million, or $3.53 per diluted share, compared with $71.7 million, or $2.86 per diluted share, for the fiscal year ended March 31, 2020. Excluding restructuring and impairment costs and certain other non-recurring items, detailed in other items in today’s earnings release, net income and diluted earnings per share increased by $17.6 million and $0.76, respectively, for fiscal year 2021, compared to fiscal year 2020. Adjusted operating income detailed in other items in today’s earnings release of $172.9 million increased by $31.7 million for fiscal year 2021, compared to adjusted operating income of $141.3 million for fiscal year 2020. Net income for the quarter ended March 31, 2021, was $39.4 million, or $1.58 per diluted share, compared with net income of $15.6 million, or $0.63 per diluted share, for the quarter ended March 31, 2020. Excluding restructuring and impairment costs and certain other non-recurring items, detailed in today’s earnings release, net income and diluted earnings per share increased by $14.3 million and $0.57, respectively, for the quarter ended March 31, 2021, compared to the fourth quarter of fiscal year 2020. Consolidated revenues increased by $73.4 million to $2 billion for the year ended March 31, 2021, and decreased by $14.5 million to $617.6 million for the three months ended March 31, 2021, compared to the same periods in the prior fiscal year, on the addition of businesses acquired in calendar year 2020 in the Ingredients Operations segment, offset in part by lower comparative leaf tobacco shipment volumes. Turning to the segments, and Tobacco Operations segment. Operating income for the Tobacco Operations segment increased by $22.2 million to $168.8 million for the fiscal year and by $16.1 million to $61.2 million for the quarter ended March 31, 2021, compared with the same periods for fiscal year 2020. Favorable foreign currency remeasurement comparisons and strong tobacco shipment volumes benefited Tobacco Operations segment results for both the quarter and year ended March 31, 2021. In fiscal year 2021, compared to fiscal year 2020, sales volumes were up in Brazil and the United States on higher sales of carryover crop tobacco, while volumes decreased in Africa partly from weather reduced crop sizes as well as some delayed shipments that will occur in fiscal year 2022. Selling, general, and administrative costs for the segment were lower for fiscal year 2021, compared to fiscal year 2020, largely on favorable net foreign currency remeasurement comparisons, mainly in Indonesia and Brazil. Our favorable product mix and continued strong wrapper demand also benefited segment results in fiscal 2021. In the quarter ended March 31, 2021, results for the Tobacco Operations segment were up largely on favorable currency remeasurement comparisons, compared to the fourth fiscal quarter of 2020, when certain currencies drastically weakened mainly due to market uncertainties caused by the COVID-19 pandemic. Leaf tobacco shipments were modestly lower in the fourth quarter of fiscal 2021, compared to the same quarter in the prior fiscal year, largely due to reduced African volumes, including some volumes that will ship in fiscal year 2022. An improved product mix and continued strong wrapper demand benefited the segment results in the fourth quarter of fiscal year 2021, compared to the same quarter of the prior fiscal year. In the Ingredients Operations, operating income for the Ingredients Operations segment was $0.4 million and $5.1 million, respectively, for the fiscal year and quarter ended March 31, 2021, compared to an operating loss of $8.5 million and $4.1 million, respectively, for the fiscal year and quarter ended March 31, 2020. Results for the segment included costs from amortization of intangibles related to the acquisitions, which totaled $6.4 million and $2.4 million, respectively, in the fiscal year and quarter ended March 31, 2021, as well as purchase accounting adjustments of $2.8 million in the year ended March 31, 2021, and $2.7 million in the year and quarter ended March 31, 2020, that also reduced our results for the segment. Our Ingredients Operations saw some changes in product mix during fiscal year 2021 due to changes in customer demand resulting from the ongoing COVID-19 pandemic. While demand for ingredients used in products for restaurants and social venues declined, we saw demand increase for ingredients used in grocery items and pet foods.  In the fourth quarter of fiscal year 2021, we began to see demand for our products recover from certain sectors, such as food service, which were negatively impacted by COVID-19. Selling, general, and administrative expenses increased in the fiscal year and quarter on the addition of the acquired businesses. As we move into fiscal year 2022, we currently expect global supply for the flue-cured leaf tobacco to be in line with anticipated demand and for burley leaf tobacco to be in a slight undersupply position. We are continuing to monitor freight costs as the COVID-19 pandemic disrupted shipping patterns, which has resulted in cost increases due to limited container availability.  We published our second annual Sustainability Report in fiscal year 2021 on our website. The report showcases our strong commitment to our sustainability programs and initiatives which stems from our belief that sustainability is a key component of our past and future success. In fiscal year 2022, we will continue to deliver on our fundamental responsibility to our stakeholders to set high standards of social and environmental performance to support a sustainable supply chain. At this time, we are available to take your questions. Meika, I will turn the call back to you.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Ann Gurkin from Davenport & Co. Your line is now open.
Ann Gurkin: Good evening to everybody.
George Freeman: Hey, Ann.
Johan Kroner: Hey, Ann.
Ann Gurkin: That was a very impressive gross margin number for the year. You talked about the tobacco carryover and wrapper. Is there anything else in that 19.5%?
George Freeman: No. Insightful mix and certainly we have been looking very hard at cost efficiency. And you have seen over the last couple of years, some restructuring that we have done and we're looking at that constantly, so that helped as well.
Ann Gurkin: And as we go forward into fiscal 2022, how should I think about that number?
George Freeman: It all depends on the mix, right? The mix was really positive as compared to the prior year. So it all depends on what that mix looks like going forward. The wrapper demand is still there. So it looks positive.
Ann Gurkin: Okay. Can you help me at all with fiscal 2022 components revenues? How should I think about interest expense, which was much higher than I was looking for in fiscal 2021 SG&A expense, CapEx, any of those factors?
George Freeman: Well, there's a couple of things that we've pointed out. Certainly, CapEx would be that 35 and 45. The reason the interest was up certainly was because we took on an extra $150 million related to the acquisition that we made this year. There was also some additional in there that we had pointed out and we'll be pointing out in the 10-K that will be filed later this week. I think it was about $1.8 million. So there's a couple of things in there. With regard to the tobacco business going forward, it looks good, but it's really early on. So we'll have to see how it all works itself out for fiscal year 2022.
Ann Gurkin: Okay. The $1.8 million is a one-time fiscal 2021 impact, or does that continue within that component?
George Freeman: That was a one-time fiscal year 2021 impact.
Ann Gurkin: Okay. That helps. Okay. Great. And then last quarter I asked about – you all talked about working on synergies among the acquired businesses. Do you have any more detail to give any kind of synergy number among your recent acquisitions?
Airton Hentschke: What we told you last time around really is what we're trying to determinate is there any overlap there that we can use the marketing groups of the two companies to help each other out that we will continue to do that, and we'll continue to be very focused on integration, which is still ongoing. So there's no real numbers to that just yet, but all looks positive there as well.
Ann Gurkin: Okay. Sorry, George.
George Freeman: I was just going to say – I'm going to say it looks positive, somebody said it.
Ann Gurkin: Great. Candace, do you have a worldwide uncommitted inventory number?
Candace Formacek: Yes, I do. The number is as of March 31, it's 94 million kilos, which is down 11 million from the 12/31/2020 number.
Ann Gurkin: Okay. And then any update on how you review or how you're thinking about share repurchase over the next couple of years?
Johan Kroner: Well, we have the $150 million out there. And if pricing is right and all that, we will take a hard look at it, but we're more focused on investing in the Tobacco business and looking at other opportunities on the ingredients platforms. So that's the priority at the moment.
George Freeman: And, of course, maintaining that dividend.
Johan Kroner: 100%, George.
Ann Gurkin: I thought you had reached your kind of ideal or target mix for non-tobacco businesses. Are you still looking to add to that platform?
Johan Kroner: Yes. The pipeline is still active, Ann. Again, we put out in 2018 that the capital allocation strategy. We certainly wanted to – the target there was for our EBITDA and really fiscal 2022 – 10% and 20%. I think we have reached that with these two. So we certainly have taken a step back and we have taken on two fairly large company. So again, we're taking a pause, but if the right company comes along, certainly we'll look at it.
Ann Gurkin: Okay. All right. And then just longer term strategy, I keep hearing customers fill up more things. A big one of your is saying that – they say cigarette sales could end in a decade, maybe in Japan, they look to convert smokers from combustible to non-combustible. So how do you position your global leaf assets business capacity? Was that kind of overreaching strategy vision from one of your larger customers? How do you address that?
Airton Hentschke: I think the way to look at first of all is that Universal Leaf supports a multi-category market that we support combustible cigarettes. We support heat-not-burn or vaping segments. We support mass market cigars, cigarillos, the premium cigars, shisha and the smokeless product as well. And we play a role in all these categories. So we are well positioned with raw material and services for all these segments. And I think if you look at what has happened, cigarette sales have been declining since 2012. And if you look at the way we positioned throughout all these years, we have been pretty consistent on our yearly sales volumes. And as long as we continue performing, delivering a quality product at a competitive price, we believe that we'll be continue gaining market share, and that is a big part of executing our strategy.
Ann Gurkin: That's great. That's very helpful. Thank you all very much.
George Freeman: Thanks, Ann.
Candace Formacek: Thanks, Ann.
Operator: Your next question comes from the line of Lesa Sroufe from Lesa Sroufe & Co. Your line is now open.
Lesa Sroufe: Thank you. I just have a couple of questions. First of all, could you address – there's been talk of drought in certain countries in the Southern American hemisphere and how it is or may affect business? Are you looking at that for the supply? And then I have a couple more questions. The next question is basically on – you'd mentioned that the availability of containers and it sounds like shipping costs have risen. And I'm wondering if in terms of your pricing power, has your pricing power improved?
Airton Hentschke: Let me answer the first question. Weather condition is always a challenge in any agriculture venture there. And it's not different with tobacco. Tobacco is a very resilient plant. What we have seen especially here in U.S. now that month – and May has been one of the driest in history. But the American farmer is a very professional and experienced farmer, and they have been transplanting according to the time using irrigation. And for these next weekend, the time is right. We should get some rains in the tobacco areas. Overall, we don't see right now extreme weather conditions affecting our operations. Tobacco in Brazil has been harvest. It is being marketed from farmers to companies like ourselves. And in Africa, we just started operating on the buying two, three weeks ago. And it's so far is going according to our plan. The second question related to the rising shipping costs impacting our business. We are closely monitoring this situation. What is important to say here is that majority of our business it is FOB, meaning that all the disruption on the logistics side and availability or lack of availability of containers and vessels, the costs related to that is normally in that case absorbed by our customers. But it's also important to say here that our logistics department at Universal Leaf and the sales departments, they have been very proactive coordinating with customers those activities accelerating shipments in some areas that we understand that could face some of these bottlenecks and at the same time, offering solutions from areas where there is more concentrated problem. Like in Asia, we understand that some of these costs have been rising from 100% up to 400% depending the specific country or origin. And in that case, companies like Universal Leaf, we can delay shipments from some of these origins because we can offer solutions from other origins that have not been impacted like Brazil, like the U.S. or like Africa. So this is the way we are positioning ourselves and with a close coordination with our customers.
Lesa Sroufe: That's good to know. And then also I wanted to ask you, I know you have one large main competitor in your business, in the tobacco leaf business. And – well the company won't be named, I know that they're maybe highly leveraged and have had some financial problems. Have you seen any change in the competitive landscape because you are financially strong or are you picking up market share? Could you tell me a little bit about that?
George Freeman: Well, we do believe that we are picking up market share. I don't want to comment on our competitions, financial situation, but we would like to believe it's because of the quality of our products and services we deliver.
Lesa Sroufe: Okay. Thank you.
Operator: [Operator Instructions] There are no further questions at this time. I will hand it over back to Ms. Candace Formacek for any closing remarks.
Candace Formacek: Thank you, Meika, and thank you all for joining us this evening. And we will look forward to speaking with you in another quarter. Good-bye.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.